Operator: Good morning, ladies and gentlemen. Welcome to the West Fraser Timber Company Limited Fourth Quarter 2015 Results Call. During this conference call, West Fraser’s representatives will be making certain statements about potential future developments. These forward-looking statements are intended to provide reasonable guidance to investors, but the accuracy of these statements depends on a number of assumptions and is subject to various risks and uncertainties. Actual outcomes will depend on a number of factors that could affect the ability of the company to execute its business plans, including those matters described under risks and uncertainties in the company’s annual MD&A, which can be accessed on West Fraser’s website or through SEDAR and as supplemented by the company’s quarterly MD&As. Accordingly, listeners should exercise caution in relying upon forward-looking statements. I would like to turn the meeting over to Mr. Ted Seraphim, President and Chief Executive Officer. Please go ahead, Mr. Seraphim.
Ted Seraphim: Thank you and good morning. Joining us today is our CFO and new grandpa, Larry Hughes and a number of our senior management team. Larry will discuss our fourth quarter earnings shortly. I would like to focus my comments on our performance and some of our key activities during 2015 as well as our outlook for 2016. For the year, the company achieved record sales of $4.1 billion. We generated $417 million of adjusted EBITDA, a decrease of $204 million from 2014. The primary reason for the decline in adjusted EBITDA was due to declining lumber prices. Challenging weather conditions in the first quarter of 2015 in the U.S. impacted home construction in the earlier part of the year. In addition, weaker overall demand for Canadian lumber in China impacted lumber pricing as well during the year, particularly in the third quarter as demand fell off during that period. We did experience improved demand from China in the fourth quarter of the year and we continue to see stable demand in the first quarter of 2016. We had a heavy capital spending program for the last few years. Although our spending was lower in 2015, our 3-year total from 2013 through to the end of last year was approximately $1 billion. In 2015, we completed a number of capital projects, including our 100-mile sawmill upgrade, three large energy projects, three major planer projects and a number of continuous kilns. We are starting to see the benefits of this extensive capital program and this will position us well – very well to provide industry-leading margins in the future. Our Hinton pulp mill experienced improved reliability in 2015 as production was up approximately 10% or 100 tons per day. We continue to expect further material improvements in Hinton’s reliability, production and cost in 2016. In the fourth quarter, we acquired Manning Forest Products, which now gives us 6 sawmills in Alberta. We are very pleased to welcome the folks from Manning to West Fraser. The housing recovery in the U.S. continues to show positive momentum. Housing starts were up by approximately 100,000 units to 1.1 million for the year. Our view on U.S. housing continues to remain positive. Key factors such as housing inventory, household formation and demographics continue to encourage us as we look forward. Demand from China has improved in recent months and we continue to view China as a market with strong long-term fundamentals for lumber imports. With this, I will turn the call over to Larry Hughes.
Larry Hughes: Thanks, Ted and thanks everyone joining us on this call today. Please refer to the advisory contained in our MD&A concerning the use of various non-IFRS terms. These are described in various tables which begin in Page 22 of our MD&A. For the fourth quarter, we reported an after-tax loss of $15 million or $0.18 per share. On Page 10 of our MD&A, we identified various non-operational items, which we adjust from the quarterly loss in order to more clearly reflect results solely from operations. The result, which we refer to as adjusted earnings, was $30 million for the fourth quarter or $0.38 adjusted earnings per share. This compares with $0.42 for the third quarter of 2015 and $1 for the fourth quarter of 2014. So on an adjusted basis, this quarter was similar to the previous quarter and both were much weaker than the fourth quarter of 2014. On a segmented basis, operating earnings from our lumber segment improved by $26 million compared to the previous quarter due to improved shipments from our Canadian sawmills, some pricing improvements and less duties paid, partially offset by fewer operating days. Operating earnings in lumber were off significantly compared to the fourth quarter of 2014, reflecting a steep decline in U.S. dollar lumber prices, particularly SPF and increased purchased log costs, which were only partially offset by a continuing strengthening of the U.S. dollar against the Canadian dollar. For our panels segment, operating earnings declined quarter-over-quarter, reflecting a seasonal slowing of the Canadian plywood market, but overall, our panel segment made another strong contribution in 2015. For the pulp and paper segment, we saw a decline in operating earnings compared to the previous quarter, mainly the result of lower pulp shipments and reduced U.S. dollar prices, most significantly for BCTMP. Operating earnings for the pulp and paper segment improved slightly compared to the same quarter of 2014 reflecting improved shipments and the benefit of a weaker Canadian dollar. For the full year, our earnings declined by $155 million compared to 2014 and on an adjusted earnings basis, the decline was $151 million largely attributable to a much weaker operating earnings from our lumber segment. We used $28 million in our operating activities in the fourth quarter compared to cash flows of $89 million in the third quarter, reflecting seasonal Canadian log inventory buildup. Capital expenditures in the quarter totaled $51 million and for the year capital spending was $220 million. We also completed the purchase of the Manning Alberta sawmill during the fourth quarter for $76 million. We are expecting capital spending in 2016 to be in the range of $300 million. We revalued our defined benefit pension plans as at the end of 2015. The rate of return on assets held lower than the discount rate resulting in an after-tax actuarial loss of $12 million, which was included in other comprehensive earnings. In 2015, we made contributions to our defined benefit pension plans of $61 million and we expect to make payments of approximately $51 million in 2016. Our balance sheet as at December 31, 2015 remains strong with a net debt to total capital ratio of 22%, which includes operating borrowings of $181 million as we build Canadian winter log inventories. As Ted alluded to, this is my fourth day as a grandpa and it’s been a very exciting week for our family and it does remind you what is really important in life. So, with that, I will pass it back to Ted.
Ted Seraphim: Okay. Thank you, Larry. And I hear Larry is sleeping through the night already. So that’s pretty impressive. So with that, we will open it up for questions.
Operator: Thank you. [Operator Instructions] And the first question is from Mark Wilde from BMO Capital Markets. Please go ahead.
Mark Wilde: Good morning, Ted and congratulations Larry.
Ted Seraphim: Good morning, Mark.
Mark Wilde: Yes. To start off, I was just curious, Ted, when I looked at the volume and pricing numbers, the sales volume in the U.S. was down quarter-to-quarter and that was despite kind of prices being up pretty sharply. So, I just wondered if you could give us some background on that?
Ted Seraphim: Well, I think largely as we went into the quarter with relatively lower inventories and that was probably the main factor. It wasn’t really any market issues as we had low inventories going into the quarter.
Mark Wilde: Okay. And where do you stand kind of inventory wise right now, Ted?
Ted Seraphim: I would say our inventories are balanced for addressed inventory in both Canada and the U.S., pretty balanced.
Mark Wilde: Okay, alright. And can you give me a sense in 2016 within that $300 million number, what are the big capital projects for you guys?
Ted Seraphim: Okay. Well, we have got two fairly significant sawmill upgrades that will be progressing this year, one in Canada with our high priority mill that we bought in 2014 and also we are looking at – we are in the beginning of a major sawmill upgrade in our Newberry mill in South Carolina. And then we have got a number of continuous kilns. We are looking at – we are not having quite finalized it yet, but we were looking at fairly some – fairly major energy project in our pulp business and then just a number of other upgrades throughout the company. I mean given the size of our company now, we kind of tend to project somewhere in the order of $200 million per average capital spend once $200 million to $225 million. So really, $300 million is not extraordinary given that we still got a couple of major sawmill upgrades to do this year.
Mark Wilde: Yes, okay. And Ted is it possible to get some sense of what kind of improvement you expect at Hinton in 2016, because you said you expect pretty significant year-over-year there?
Ted Seraphim: Yes. I mean we want to be conservative, but we still – we know there is another 200 tons a day to achieve. So our target is to kind of get there one-third last year, one-third this year and one-third next year. And once we achieve that, we will be where we need to be.
Mark Wilde: Okay, alright. Larry, any inventory charges in the fourth quarter in lumber?
Larry Hughes: Yes. Our overall inventory charges were pretty modest in this quarter. Let me get the numbers for you. We had a write-down of $21 million compared to $37 million the quarter preceding.
Mark Wilde: Okay. And then no repurchase of stock in the fourth quarter?
Larry Hughes: No. We were out of the market in the fourth quarter, but we – our normal course issuer bid is effective until mid-September. And we have the ability, if we choose to do, purchase up to 4 million shares.
Mark Wilde: Okay, alright. And then finally Ted, maybe just some thoughts on the U.S. Canadian trade situation?
Ted Seraphim: Yes. I mean there is really not much we can say at this point. I mean we understand the two governments are having some preliminary discussions and that’s really all we can say at this point. You know we are to stand-still until the middle of October and we will just wait and see.
Mark Wilde: Okay, alright. I will turn it over.
Ted Seraphim: Thanks Mark.
Operator: Thank you. The next question is from Sean Steuart from TD Securities. Please go ahead.
Sean Steuart: Thanks. Good morning guys and congrats Larry.
Larry Hughes: Thanks Sean.
Sean Steuart: A couple of questions, I just want to follow-up on Hinton and the kraft pulp mills in general, Ted what are you doing to get those productivity gains and I am just trying to gauge how much of this is capital related versus just de-bottlenecking what’s there and maybe some specific examples of initiatives that are planned this year to get those extra tons out?
Ted Seraphim: Okay. So I will give you a fairly short description and so – and I am sorry, I might bore a few of the other folks on the line here. But Hinton used to produce 1,200 tons a day on two machines. In 2007, we shutdown the old dryer, but we kept all the front end of the mill, the pulping capacity. And we were producing 1,000 tons a day. Then with the Green Transformation credits, we were able to do a number of things, some energy projects, but we also put a fair amount of money into the pulp dryer. And our expectation was to get back to maybe not 1,200 tons a day, but say 1,150 tons per day. And we have that capability today. I mean there are many days when we run 1,150 tons, 1,200 tons per day. So really, it comes down to issues over mill reliability, probably 3 years ago way too much focused on getting that pulp dryer to run and we just ran into reliability issues and we are crawling our way out of it. So it’s really today, there might be some minor maintenance capital, but very minor. It’s really about reliability and we also have to remember that we went through a period of time with the oil and gas industry where we had significant turnover of employees. We have a – that’s obviously not the case today and we have also bolstered that mill with a very strong management team. So it’s a real prime focus for us. And I would love to say to you and that we would be at 1,150 tons or 1,200 tons every day this year, but we are kind of working our way back step-by-step. And I think that’s really maybe the best way I can describe it for you, Sean.
Sean Steuart: Okay. Now, that detail helps. Thanks Ted. Larry, I just wanted to confirm, you said $51 million in pension and benefit payments in 2016, is that above and beyond expense?
Larry Hughes: Yes, that’s the contribution that we are going to make in 2016.
Sean Steuart: On the cash flow statement, okay. Okay. I think that’s I have for now guys. I will get back in the queue.
Ted Seraphim: Thanks very much Sean.
Larry Hughes: Thanks Sean.
Operator: Thank you. [Operator Instructions] And your next question is from Hamir Patel from CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi. Good morning and congratulations Larry.
Larry Hughes: Thanks Hamir.
Hamir Patel: Ted, first question on the export front, your offshore volumes in ‘15 fell 31% and I look at BC industry data, it looks like BC was down about 13%, I would have figured that you would have less flexibility than the overall industry to redirect into the U.S., any thoughts on what maybe drove that difference?
Ted Seraphim: Well, actually Chris McIver is here with us today. So I think he could probably give you a lot more detail that I can.
Chris McIver: Hi, Hamir. Yes, it’s firstly, we have got really good flexibility between what I would call as our three or four big markets being U.S, Canada, China and Japan to move product around as we see fit. Really, by mid-year last year, it got very tough in China and some of the customers ran into some trouble. We pulled back quite heavily and diverted production to the U.S. But by the mid-fourth quarter, we are back and things were stabilized. And we see pretty good demand over there today, tougher pricing, but certainly good demand. So we had about at least a quarter, a quarter-and-a-half where it was very tough over there and we chose to reduce our volumes. And now we are back there in a measured way. We are still pretty significant over there, but it’s just one of our markets. So hopefully that helps.
Hamir Patel: Okay. Thanks Chris. That’s helpful. And the other question I had on the lumber side was the production increase in ‘16 of 400 million board feet that you guys are pointing to, how much of that is from the Southern platform?
Ted Seraphim: Well, I think it’s probably 60% in Canada, 40% in the U.S. Remember, we have got Manning – full year of Manning, the 100-mile sawmill upgrade is well behind us and so it’s probably 60-40.
Hamir Patel: Great, that’s helpful. And just the final question on the plywood business, given the slowdown we are seeing in the Canadian economy and the weak [Luni], are you taking steps to perhaps grow some of your volumes into the U.S. and what’s that percentage figure of what you currently sell into the U.S.?
Ted Seraphim: Well, we don’t – it’s not a material figure today in terms of what we are doing in the U.S. We continue to look at all markets. But again, we have some flexibility, first of all because of the currency. But ultimately, we have always been frankly pleasantly surprised by the strength of our Canadian plywood market. I mean the fourth quarter was not much different than the fourth quarter of 2014 for us. So I don’t think we are sitting here today alarmed about what’s going on with the Canadian plywood market. So we are very committed to it and we will continue to look at other markets, but we are still very committed to the Canadian plywood market.
Hamir Patel: Okay. Thanks Ted. I will turn over.
Ted Seraphim: Yes. Thanks a lot.
Operator: Thank you. The next question is from Paul Quinn from RBC Capital Markets. Please go ahead.
Paul Quinn: Yes. Thanks. Good morning guys.
Ted Seraphim: Good morning Paul.
Paul Quinn: Larry, I also want to wish you praise on the accomplishment, but given the accolades, given to-date, it’s almost like you gave birth.
Ted Seraphim: It’s a tough job that somebody has got to do it.
Paul Quinn: That’s right.
Ted Seraphim: It’s been an emotional week here Paul.
Paul Quinn: I feel for you Ted. Maybe you could give us some color on U.S. South production and the product mix that you have whether you are more skewed to the wides or to the narrows, we are seeing a huge difference in pricing between those two and your expectation going forward between the two and yes if you could just give us some color on that one?
Ted Seraphim: Well, first of all, that’s a really important question for us to answer, because we have a larger mix of wides than many others in the U.S. South. And when housing comes back, we expect to see that gap shrink considerably between wides in two by four. That being said, we have some flexibility. We have flexibility with our capital program, but we cannot make a significant scale change in terms of our product mix. So, we are working on it. We are continually looking for opportunities to get more flexibility in our mills, but it’s something that in this – in terms of the current housing environment where it’s a bit of a challenge for us.
Paul Quinn: Okay. And just on the growth side, you seem to be picking off a couple of mills a year. Should we look for that to be sort of the status quo going forward? And has there been any change in terms of what current mill owners are looking to monetize their mills for, i.e., are the weakening prices reflective in some of the values you are seeing out there or some of the offers?
Ted Seraphim: Well, I think in terms of the second part of your question, I don’t – there doesn’t seem to be that much activity today in terms of M&A, in terms of small, small mill or individual mill purchases. That could probably change, but it does – has slowed down over the last 6 to 8 months. And ultimately, for us, we are a growth company for the long-term, but we are really focused on value. And so at the end of the day here, depending on values, we could buy 1 mill, 2 mills, 5 mills or no mills. So, we have got – we have done a lot of analysis on a whole bunch of opportunities out there and if there is a good fit for us, we will go after it. But we have been fairly, I would say fairly disciplined over the last 4 or 5 years. We have purchased only 2 mills in the U.S. So, we felt there were good synergies with our other mills in Arkansas and we purchased 3 mills in Alberta, which as you know is very strong fit for our company. So, it’s really for us it’s not going to move the ball significantly. So, we just really want to make sure that whatever mill we buy, it’s not about growth it’s about fit with our company.
Paul Quinn: Okay. And just lastly on the pulp and paper side, two questions, one on Hinton, just to clarify, it sounded like you are targeting 1,150 tons per day and it sounded like you had – you thought there was another 200 tons per day to achieve, which sort of suggests that you are at a production run-rate of 950, just wanted to clarify that? And then…
Ted Seraphim: We are a little higher than that, but 970, 965, 970 last year. So, you can see that in 2014, that was a really, really bad year for us. So, we have made progress. I think everything I have said to Sean is how we look at it and we have got ways to go, but we are making progress and we are doing better. It’s only February 12 today. So, it’s early in the year, but we are running at a better rate today than we are running in 2015 as well as at Hinton.
Paul Quinn: Okay. And then just – we have got a lot of pulp capacity coming in and I know you have got some of the low cost BCTMP assets, but how do you look at that – what’s the outlook for that grade going forward given the capacity adds?
Ted Seraphim: Well, I think there are some additions in BCTMP, but you also see that there are some mills that were expected to startup and they didn’t. We have got a very good platform. We are the largest BCTMP producer in the world. We have got an excellent customer base that gives us a fair amount of stability. And the other thing that’s of note is that China produces a lot of BCTMP and they have their challenges. So, we don’t just look at BCTMP producing in Canada and Scandinavia. We look at it in China, which again is the largest market for BCTMP imports. And given that most of our BCTMP is going into very modern paper machines, yes, we suffered like everybody else that was selling commodities into China in the second half of last year, but we have seen these bumps in the road many times in our BCTMP pulp business over the last 30 years and our outlook is still very positive, Paul. And again, the investments we made up at Slave Lake in terms of our biomethanation plant, which is running very, very well and the investments that we are looking at making at our QRP mill will just continue to, I think put us in a position of being the low cost producer. And at the end of the day that seems to be, if we do that well, we seem to be able to win the fight. I hope I answered your question.
Paul Quinn: Yes, no, that was good. Solid quarter. Thanks, guys.
Larry Hughes: Okay. Thanks, Paul.
Ted Seraphim: Thanks, Paul.
Operator: Thank you. The next question is from Daryl Swetlishoff from Raymond James. Please go ahead.
Daryl Swetlishoff: Thanks and good morning, guys. Just one question. It’s for Chris McIver. I am wondering a lot of you are suggesting and your competitors are suggesting that the Chinese market is looking out. Can you tell me about what you are seeing in terms of the competitive landscape on the ground in China? Specifically, what are the Russians up to and how is that manifesting itself with respect to low-grade and doing better?
Chris McIver: Good morning, Daryl. Yes, I would say early in the year, last year, the Russians came in and took a pretty significant piece of market share and they did it with price, both in logs and lumber. In the fourth quarter, I would say that the Canadians really did take a quite a bit back. Obviously, currency is playing a big part of this and the whole industry needs to transition into higher grades over there and that’s part of what’s going on as the demand for lower grades is reduced, we are all looking for opportunities and working hard to increase that higher grade market share. So, I think 2016 is going to be look a fair bit like 2015 did and I don’t believe the Russians are going away, but we have all got very good connections over there, good customers and I think we are in a pretty good spot.
Daryl Swetlishoff: Do you have to change your customer base much or I mean like move more to the interior or look to different end uses or is it pretty much going to be the same in ‘16 as it was in ‘15?
Chris McIver: Yes, we probably won’t change our customer base a whole lot, because a lot of us sell distributors and manufacturers, but where our geographic footprint will change, will begin to – and we see it everyday. We go further and further in land every time I go over there. So, we are just growing, which is the encouraging part about China is there is a lot of China that we are not in yet that we still got a lot of room to grow in and I think that’s where our growth will come from.
Daryl Swetlishoff: Is there any other markets aside from China and North America that is interesting to you as you look out for the next – or maybe not this year, but over the next 5 years?
Chris McIver: I would say we are going to have a little focus internally on India and the Middle East. Now, is that the next China? No, but each little piece, 2%, 3%, 4%, whether it’s from the U.S. sales or Canada, it all helps. So, every year it seems like the business gets more and more international in the lumber side. So, but is it going to be a big changer in our market? I don’t think so for the next couple of years, but maybe in 5 years so.
Daryl Swetlishoff: Thanks, Chris. I hope Ted lets keep air miles. That’s all I had.
Chris McIver: You don’t get air miles in the way we play Daryl.
Operator: Thank you. The next question is from Mark Wilde from BMO Capital Markets. Please go ahead.
Mark Wilde: Yes, just as a follow-up, I wondered if we get some sense of just quarter-to-quarter maintenance expense as we go here into the first quarter and maybe even a little further out through the year, what’s the sort of modulation of the maintenance is going to look like?
Ted Seraphim: Are you thinking more on the pulp side, Mark?
Mark Wilde: Yes, I am.
Ted Seraphim: So in terms of pulp, we have two shutdowns this year, but they are minor ones. We have got a 5-day shut at Hinton and I think 3 or 4 they shot at Cariboo. Our major shots will be in 2016 – sorry, 2017. Time flies. In 2017, we will have our major shot in Cariboo in the second quarter of next year. And at Cariboo, we do a major shut every second year and the alternate year, which this year, we do a minor shut. In Hinton, we do a major shut every 3 years, because we have two recovery boilers there. And so that will be the third quarter of 2017. So some minor impact first half of this year, but primarily second, third quarter next year.
Mark Wilde: Okay, that’s really helpful. Also I noticed just in looking at your volume numbers that your LDL was up pretty nicely. Can you give us a little color on that?
Ted Seraphim: Sure. Chris is off willing and able to answer that question too.
Chris McIver: Hi, Mark.
Mark Wilde: Hi.
Chris McIver: Yes. LDL is very tied to new housing starts and so we haven’t seen the recovery in the starts that we would like to in the U.S. yet, but saying that, we are beginning to see a fervent interest in LDL. It’s actually probably feels little better today than it has in the last 2 or 3 years. Still very early and our forecast for housing isn’t fantastic for the next year. So, we expect we will see kind of a slow growth in LDL.
Mark Wilde: And Chris how much of that LDL that you produce ends up down in the States?
Chris McIver: We would sell roughly half our production stays in Canada, half in the U.S.
Mark Wilde: Okay, alright. And then the last question, just back on kind of China and kind of Russian suppliers into the market, can you talk about what you guys see over there in terms of more investment in sawmilling capacity on the Russians side of the border if anything?
Ted Seraphim: Well Mark, we are certainly not Russian experts, but I wouldn’t want to comment too much on what’s going on there. We haven’t seen a whole lot, but again we are not the experts there.
Mark Wilde: Okay, alright. It sounds good. Good luck in ’16 guys.
Larry Hughes: Thanks very much, Mark.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Seraphim.
Ted Seraphim: Okay. Well, thank you very much operator and thank you, everyone for attending. And we appreciated the questions. And we will talk to you next quarter. Take care.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.